Operator: Good day everyone and welcome to the Qiwi Third Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Ms. Varvara Kiseleva, Interim Chief Financial Officer of Qiwi. Please go ahead.
Varvara Kiseleva: Thank you, operator, and good morning everyone. Welcome to the Qiwi’s third quarter earnings call. I am Varvara Kiseleva, Interim Chief Financial Officer. And with me today are Boris Kim, our Chief Executive Officer; and Andrey Protopopov, Chief Executive Officer of the Payment Services segment. A replay of this call will be available until Thursday, December 3, 2020. Access information for the replay is listed in today's earnings press release, which is available at our Investor Relations website at investor.qiwi.com. For those listening to the replay, this call was held and recorded on November 19, 2020. Before we begin, I would like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risks and uncertainties. Qiwi cautions that these statements are not guarantees of future performance. All forward-looking statements made today, reflect our current expectations only, and we undertake no obligation to update any statements to reflect events that occur after this call. Please refer to the Company's most recent Annual Report on Form 20-F filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from any forward-looking statements. During today's call, management will provide certain information that will constitute non-IFRS financial measures, such as total net revenue, adjusted EBITDA, adjusted net profit and adjusted net profit per share. Reconciliations to IFRS measures and certain additional information are also included in today's earnings press release. With that, we'll begin by turning the call over to Boris Kim, our Chief Executive Officer. Boris?
Boris Kim: Thank you, Varvara, and good morning, everyone. Thanks for joining us on this call today. I'm glad to share our third quarter 2020 financial results. This quarter, we continued to demonstrate robust performance in our Payment Services segment as well as in our other projects. Our Payment Services segment showed solid results and delivered 11% net revenue and net profit growth. This growth was largely supported by several factors, including abnormally high-density of sport events in the third quarter as well as growth in our strategic self-employed streams. This quarter, we also successfully closed the sale of SOVEST and include the wind down of Rocketbank. This helped us to refocus on our core payment business as well as on projects that can be synergetic to our key products, consumer interest and competence. This being said, we also continue to optimize and improve the efficiency of our operations across all projects. Moving further, I would like to share with you how several trends that I believe are currently important for our business. Today, we see increasing uncertainty related to the spread of coronavirus. Moreover, as a result of several other factors, we may expect further deterioration of the consumer products and disposable incomes in Russia. We have not yet seen any substantial effect of the decrease of the purchasing power of the population on our operations. Our diversified portfolio of services and circular growth in our key markets cushioned the negative trends so far. However, we may expect certain negative effects to be visible going forward and into 2021. Secondly, we have noted in the past and are likely to continue to see in the future constant default of our governmental bodies to adopt more robust and stringent regulations in respect of our key products and markets. This may include develop limitations, more elaborate Wallet QIWI requirements, establishing certain limits for the digital wallet transactions, both in respect of the types and maximum amounts specific rules and regulations in respect of the cross-border transactions and regulation of the sport banking market. As of today, a number of legislative initiatives is being discussed by different legislative bodies, formally or informally, that can eventually become legislative proposals on loss and impose additional pressure on our operations. As of now, we cannot make any reliable assessment of the impact that these trends may have on our 2021 results of operations, but we continue to closely monitor the situation and will provide our 2021 guidance in due course. Despite uncertainty, and challenging economic and operating environment, we see diverse opportunities for growth in mid-and long-term, including through general digitalization trends, new niches and services for self-employed as well as certain B2B products and services. I do believe that we are well positioned to continue developing our business and strengthening our ecosystem to provide our clients with the best-in-class digital solutions. Now on some operating highlights. Third quarter 2020 total net revenue increased 11% to reach RUB6.6 billion, up from RUB6 billion in the third quarter of 2019. The increase was mainly driven by Payment Services segment and corporate and other category net revenue growth as well as by positive contribution of Rocketbank as opposed to negative effect on total net revenue for the same period of the prior year. Andrey will discuss the performance of our Payment Services segment in a minute while I walk you through the results of our other projects and segments. Corporate and Other Category. Net revenue was RUB449 million as compared to RUB268 million in the third quarter of the prior year. Net revenue growth in other category was primarily driven by Factoring PLUS net revenue growth. Factoring PLUS revenue grew to RUB182 million as compared to RUB55 million in the third quarter of the prior year. Factoring net revenue growth was driven by the scaling of the projects, including the expansion of bank guarantees and factoring portfolios. In the third quarter for 2020, Factoring portfolio increased by 15% to reach RUB3.8 billion. Bank guarantee portfolio grew by 26% to reach RUB16.7 billion. Most products performed well and continued to maintain low NPL level. Given the results of the project and the trends we currently see, we aim to further develop these products by scaling our current products as well as by expanding Factoring PLUS product proposition. Tochka net revenue for the third quarter 2020 was RUB126 million compared with RUB199 million in the third quarter of the prior year. Tochka net revenue declined primarily resulted from a decrease in revenue generated from cash and settlement services due to low number of active clients in QIWI. At the same time, the consolidation of the Flocktory projects starting from December 2019 also contributed to the net revenue growth. As I already mentioned, in the third quarter, we successfully completed the sale of service projects and concluded the Rocketbank wind down processes. Thanks again to the team for an outstanding job done. Further, I'm happy to share that in October 2020, we placed the first ever QIWI ruble-denominated bond entering Russia debt market. Varvara will give you more details shortly, but I would like to mention that the placement in joint is strong interest from both institutional and retail investors, which we believe is a good sign that general market as well as QIWI customers will value our story and belief in our business. Moving on, I'm glad to announce that following the determination of the third quarter 2020 financial results, our Board of Directors has approved a dividend of $0.34 per share. We remain committed to the target dividend payout ratio of at least 50% of the adjusted net profit for 2020 approved by the Board in March. The Board of Directors reserves the right to distribute the dividends quarterly as it deems necessary so that the total annual payout is in accordance with the target provided. However, the payout ratios for each big quarters, may vary and maybe above or below provided target. Finally, I would like to announce the appointment of Pavel Korzh, as the Chief Financial Officer of QIWI, effective December 1, 2020. Pavel has over 20 years of experience in finance. He joined QIWI in August this year and has served as the CFO of QIWI Bank before to that. Given Pavel's extensive financial knowledge, impressive background and strong focus on delivering results, I'm convinced that Pavel will be able to support our further growth, strategy execution and help us expand our business further. With this, I will turn the call over to Andrey for an update on our Payment Services business. Andrey?
Andrey Protopopov: Thank you, Boris, and good morning, everyone. Thanks for joining us. Moving onto the results of our Payment Services segment. For the third quarter 2020, our Payment Services segment volume increased by 11% to RUB435 billion, driven primarily by growth in E-commerce and money limited market vertical, offset by a decline in financial services and telecom market vertical. As we've discussed on a number of occasions, we started to see volume recovery in June as the current restrictions are eased and the majority of sports events are back on track. Different self-employed use cases also started to recover once the lockdown was over. Hence, our E-commerce volume were driven to a large extent by abnormally offer porter as well as by growth of different other digital entertainment subcategory. The continued growth in money remittance verticals at the same time was largely driven by the strong performance of the compact money remittance system primarily resulting from the growth of the Tajikistan corridor, underpinned by the development of the Kantan mobile application. Significant increase in payouts resulting from the scaling of our strategic self-employed stream, also contributed to the performance of Money Remittance calculate. For example, in the third quarter 2020, we connected to our platform over 480 taxi companies, continue to improve our services for taxi Park and other self-employed use cases in order to support further growth in the stream and started to develop several innovations. At the same time, some of the categories primarily connected to our physical distribution, such as travel and ticketing or loan repayments continue to be adversely affected by the restriction related to the COVID-19 and overall economy slowdown. As Boris mentioned so far, we have not seen any significant slowdown in our volumes or revenues resulting from lower purchasing power of population in Russia, thanks to our diversified product mix and resilience misses. At the same time, we believe that further deterioration of the situation can negatively affect some of our categories, including not only our physical distribution, but our core categories like, for example, e-commerce. At the moment, we remain cautious and closely monitor how the situation evolves, doing our best to mitigate key risks and uncertainties. In order to maintain our growth, we continue to move from new use cases and developing niche product. For example, we are piloting certain projects in our payment service segment, such as debit card program for our partners and the employees really developed in Rocketbank. All credit loans for our key user groups as well as certain B2B focused services. We believe that such product will help us expand our B2B2C product proposition and provide more demand diversified and relevant services for our clients, cementing our market position and growth. Going back to the third quarter results. Payment Services segment net revenue increased 11%, reached RUB6.1 billion compared to RUB5.5 billion prior year. Payment Services payment adjusted net revenue increased 13% to RUB5.3 billion, up from RUB4.7 billion in the prior year primarily due to the volume growth supported by the slight improvement of the payment average adjusted net revenue. Our payment average adjusted net revenue yield was up by two basis points year-over-year to 1.22%, driven by increasing share of E-commerce and Money Remittance volume in total volume. At the same time, E-commerce and Money Remittance verticals adjusted net revenue yields have declined year-over-year due to changing product mix with higher proportion of low-yielding products, such as, for example, acquiring and risk adjustment. Payment Services other adjusted net revenue was RUB806 million as compared to RUB808 million in the prior year. Fees for inactive accounts and unclaimed payment increased 5% to RUB506 million from RUB484 million in the prior year. Interest revenue decreased year-over-year, mainly due to lower central bank rates. This quarter, we continued to see declines in the number of active QIWI Wallet from RUB22.3 million as of September 30, 2019, to RUB19.7 million at September 30, 2020. We believe that the key factors that resulted in such decline related primarily to the regulatory and operational reason rather than any substantial changes in the consumer preferences for economic slowdown. Such decline did not substantially impact our financial operating performance due to increasing diversification of our product proposition and operating models. At the same time, we believe that certain regulatory initiatives that are being discussed from time to time as well as continued economic slowdown have a potential to negatively affect our operating performance in the future. Our growth this quarter was supported by robust performance of our key products and competitors. Although at the moment, we see many challenges ahead and remain cautious, we believe that we are well positioned to continue to grow our business in which our suite of services, developing initials and create new use cases for our users, merchants and partners. Simultaneously, we are working to improve and optimize our operations in order to lay a ground work for sustainable long-term growth. With this, I will pass over to Varvara for more details on the financial performance of the group. Varvara?
Varvara Kiseleva: Thank you, Andrey. Moving on to expenses. This quarter, our Payment Services segment continued to demonstrate our best operating performance and generated strong cash flows supported by good performance of our other projects. In the third quarter, we have significantly increased overall efficiency of our operations as well as our margins through successful divestiture of the key investment intensive projects as well as other cost control optimization measures that we have started to implement in the beginning of this year. Before we move on, I would like to highlight that going forward I will refer to the segment numbers that include the effects of both continued and discontinued operations under IFRS. For the avoidance of doubt, as of September 30, 2020, Forest Android bank projects are presented as discontinued operations in our IFRS financial. This being said, adjusted EBITDA increased 60% to RUB4 billion. Adjusted EBITDA margin was 61% compared with quarter two in the prior year. Adjusted EBITDA margin growth primarily resulted from total net revenue growth underpins by a decrease of selling, general and administrative expenses, resulting from a decrease in marketing, advertising and client acquisition expenses driven mainly by the termination of SOVEST and Rocketbank marketing activities. This is partially offset by an increase in personnel expenses, primarily related to Payment Services segment personnel expenses growth as well as consolidation of slot. Group adjusted net profit increased 73% to RUB3.3 billion from BRL 1.9 billion in the third quarter of the prior year. The growth of adjusted net profit was primarily driven by the same factors impacting adjusted EBITDA and as well as by an increase in foreign exchange gain that was offset by an increase in income tax. Payment Services segment net profit increased 11% to RUB3.6 billion driven primarily by Payment Services segment net revenue growth, offset by an increase of payroll and related taxes, excluding effect of share-based payments, predominantly driven by higher bonus accruals and expenses related to the cash-based LTI compensation program. Consumer Financial Services segment network was RUB137 million in the third quarter 2020 as compared to RUB424 million in the same period of the prior year, resulting primarily from a decrease in personnel expenses, excluding effect of share-based payments and selling, general and administrative expenses due to the project sales as well as credit loss recovery compared to the credit loss expense for the same period in the prior year. Rocketbank payment network was RUB165 million compared to RUB632 million in the prior year resulting primarily from better net revenue performance as well as decrease in personnel expenses and selling, general and administrative expenses resulting from the project wind down. As Boris has already mentioned, in October 2020, QIWI has placed a RUB5 billion unsecured bonds due in 2023. The final coupon was 8.4%, significantly below the initial range and the placement enjoyed strong interest and work oversubscribed. At the moment, the main purpose for raising debt is funding the development of a number of current projects, primarily funding the growth of Factoring portfolio of Factoring PLUS project. At the same time, we do strongly believe that it was a good opportunity to optimize our capital structure. Now on to our guidance. Firstly, I would like to remind everyone that at the moment, we have limited visibility regarding the potential impact of the outbreak of COVID-19 strainers coronavirus as well as certain other factors on our business. In addition, it is currently and clear how much consumer demand will be negatively affected from the outbreak of COVID-19 and what is that outbreak will have on the macroeconomic environment as a whole? The full impact remains uncertain and will depend on the length and severity of the effect of the coronavirus on economic activity in our market. Our outlook reflects our current views and expectations only and based on the trends we see as of the date of this earnings call. If such trends were to deteriorate further the impact on our business and operations could be more severe than currently expected. We continue to monitor the situation closely. Having said that, we reiterate our guidance in respect of 2020 outlook, we expect group total net revenue to increase by 7% to 15% over 2019. Payment Services segment net revenue to increase by 3% to 10% over 2019, while adjusted net profit is expected to increase by 35% to 50% over 2019. Although we see our nine months results as a solid foundation for our 2020 performance, certain other factors remain beyond our control and reserve is the right to revise our guidance in the course of the year. With that, operator, please open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Ildar Davletshin of Wood & Co. Please proceed with your question.
Ildar Davletshin: Congratulations with good strong results. So I just wanted to ask one question on your core payment business, and particularly, the E-commerce segment. So, we noticed this decline in net revenue yield, which is partially understandable. And so the question is, do you see this as a sort of sustainable new level going forward? Or is there still downside risk to this around 2.2% yield and then separately, on the self employed, it seems like you're also making good progress. At the same time, other competitors like Sberbank and Yandex have also plans in that segment. Do you see any direct competition or if you could talk a little bit maybe more about the niche that you operate if it's kind of safe for your operations? And maybe just on other revenues, like it seems like it's also making very good progress. Could you maybe speak a little bit more about the prospects that you see there, like in terms of maybe contribution overall to your revenue in the next couple of years in terms of the potential?
Andrey Protopopov: Thank you for your question. I will cover first one regarding the E-commerce yields and self employed. So for E-commerce, the reason, as we described, that we now sell a more broader range of the product in inline requires in the share of online acquiring a bigger versus our traditional growing versus our traditional QIWI Wallet. So, I would say that we may see certain thank you of this trend. Though we believe that those growths will be generally on a quite high level because our E-commerce's digital entertainment where yields are normally higher versus traditional E-commerce. Talking about the South employees, we are targeting specific, I would say, markets. We're not targeting all itself employed that we have. So it's -- and on those markets where we are playing, including, for example, the taxi companies and taxi drivers, scrap metal pickers, web markers and some others. We have some -- we have certain competitive advantages because we build kind of tailor-made markets with tailor-made solutions that fit exactly in our partners in those markets. At the same time, I would say that overall, focus of the industry and including our competitors in those markets is a reflection that this market is interesting is growing. And at the same time, in those markets we are playing in and some others, we are not yet, I would say, a lot competing with each other. We are more competed with the cash payment because even in the scrap metal pickers market, the majority of the market is cash-based on the taxi market, big portion of the market of how taxi companies are curing to the drivers of cash base. So there is still, I would say, huge opportunity to grow -- to move from those cash-based payments to the online payment and the more players are there, the fact that this will be -- this move will go. So in a way, in those markets, we are -- it's good to have a competition. While our, I would say, competitive rate would be not to try to have the broad market products, but to have this, I would say, a larger focus on the specific niches where we can provide the strongest operation.
Ildar Davletshin: Okay, maybe just a double check on your comment. So do you expect that this will revenue yield in the E-commerce to be sustainable? Or I didn't get the answer because the line isn't quite clear?
Andrey Protopopov: So could you please repeat? There something is down your voice.
Ildar Davletshin: Yes, I was trying to ask about the answer to the first question on the net revenue yield. So, the level which we saw in the third quarter, do you think this is sustainable or is can still go -- can go down from this level?
Andrey Protopopov: Yes. I said that it still can go down a bit, though I think it will stay on some quite high, I would say, quite high level overall. So it may go down a bit in the next quarters as well.
Operator: Our next question is come from the line of Chris Kennedy with William Blair.
Boris Kim: Sorry, story, I think we have -- we had one more question regarding our new businesses. So I could comment if it's possible. So, the question was about contribution of new businesses. On midterm and long-term perspective, you know that after closing selling service project and winding down on for Rocket. We have to business verticals at Flocktory and Factoring PLUS. And as we discussed during our previous call, they performed very well. And they performed even better than we expected at the beginning of the year, especially during this COVID pandemic we have. We still -- we are still working on our strategy and midterm business plan. But I could say that in long-term perspective, say on the horizon on 23, 2023, we could expect the -- these new businesses could bring us like 20%, 25% of our net revenue on the group level.
Operator: Okay, apologies. Our next question is come from the line of Chris Kennedy with William Blair. Please proceed with your question.
Chris Kennedy: Great. Boris, one follow-up on those B2B initiatives, can you talk about the long-term profitability of those?
Boris Kim: Yes. I believe that the question is about factoring to us and their business model, how sustainable it is. So at the moment, we see very good profitability in this segment. And talking about long-term and midterm perspective, we think that also we could expect some decrease in profitability and in margin. In general, we expect that the margin will be rather high because of two reasons. We work in a special, very special segment of small and medium-sized enterprises, which have contracts with big, reliable companies. And for them, it's not a question of margin. And for them, it's a question of time. We could enjoy a rather high margin. And on the other hand, the NPL, the cost of risk in such operations is resolute, say, compared to the loans for small and medium-sized enterprises, in which we have practically re-seen NPL as for retail loans. Around 10% to 15%. In fact, from operation with these companies, we have a cost of risk less than 1%. Even in this -- during this crisis.
Chris Kennedy: Okay. That's very helpful. And then just can you give a little bit more color on the potential regulatory changes in Russia and how that would impact QIWI's business and how you would navigate potential changes?
Boris Kim: Well, as I mentioned earlier, we have a few initiatives from the government and legislative bodies regarding two key markets. The first one is betting. And I mean the at which the change the legislation is astonishing even for Russia because they just adopted two new laws in July, changing the legislation for bookmakers in terms of in terms of taxation and offshore beneficiary ownership. And now we prepare two new laws, which now are being discussed and at the level of the government, a bit slower is about further increase in quite different taxation of book makers. And the second low is about changing the whole regulation of bookmaker companies including creating unified TSUPIS. Now I remind you, we have two TSUPIS, to one of this TSUPIS is here. So, it's very early to predict any material effect on QIWI business, but for sure that's a very important change in the regulation. And the second law is about foreign e-money wallets. At the moment, it's about -- I mean, they try to introduce a special form of reporting of owners of this wallet for federal taxation office and for central bank about the operations. It wouldn't directly impact our operation but of course, that shows -- that's a sign of the level of attention or the regulator to their e-money and to the electronic wallets, especially in trans-border payments. So, it's a sign of this attention and potentially they could limit such operation. And that could -- that could have an impact on our business in this case.
Operator: Our next question is come from the line of Maria Sukhanova of BCS. Please proceed with your question.
Maria Sukhanova: I just wanted to ask to elaborate a little bit more on the circulation part. Specifically about section as you mentioned about grading single TSUPIS, could you please tell us, have there been more developments on this front so far? Just -- I'm just wondering like this press release, you seem to have stressed specifically regulatory risk. And we know that regulatory risk is general background risk for the business in general. So I wonder the fact that you have stressed now is it because you are really concerned about what's going on the regulatory front or it just like reflects there have been so many initiatives so far, which together might be, if approved, negative? So just to understand, if you feel in that regulatory environment is indeed more potential more helpful at this point.
Operator: I'm sorry. Unfortunately, one of the lines may be muted. We can't hear your response?
Boris Kim: Sorry, I was on mute. Thank you for the question. So talking about single TSUPIS, the situation has changed since September or since August when we had the last earnings call, because in August, it was just a proposal from books in federation, which was discussed at the level of government. And now it's a draft law, which is now in Parliament. And so, they started to consider this draft lots. That's a huge progress in this. That's why we put this sentence in our press release even because the situation is changing. At the moment, I mean, it's difficult to predict whether this draft law will be adopted eventually. And what will be the final text and who will be the single TSUPIS. We also have a chance to be the single TSUPIS. And that's going to be much better for us even because we will serve the whole market instead of half of that, half of it, but the true is here, the situation is changing and is becoming more uncertain.
Maria Sukhanova: And just a quick follow-up on Factoring, do you still confirm you plan to double a portfolio of like half-on-half to RUB8 billion by the end of the year or the reason slow down in this respect?
Varvara Kiseleva: Yes, I'm sorry, Boris, please comment.
Boris Kim: No, Varvara, go ahead, go ahead.
Varvara Kiseleva: Thank you for your question. I wanted to outline that, of course, Factoring business is quite seasonal, and we always see significant increase in the portfolio numbers in Q4. However, of course, given the current levels, the portfolio would probably be slightly less than RUB8 billion though more or less on -- in this, I would say, proximity.
Operator: [Operator Instructions] Our next questions come from the line of Vladimir Bespalov of VTB Capital.
Vladimir Bespalov: Congratulations on good numbers and thank you for taking my question. I would also like to follow-up on the regulatory issue. Probably you do some stress case scenarios. And if we assume that the situation develops in to worst-case scenario, you are not the funder of this new single 2% in it. Could you give for a very rough maybe estimate what kind of heat your adjusted net revenues or whatever metric could take in this event? And my -- I have also a question on what Andre mentioned, given the prepared remarks on Tajikistan, maybe you could elaborate a little bit on this project? And what is the contribution of this project to your performance?
Andrey Protopopov: Let me talk from the start from Tajikistan part of your question. So Tajikistan store is falling. So starting from the, let's say, the end of the last year, there was a new regulation from the Tajikistan Central Bank for companies for money remittance companies to trade. And not all of the key players in Russia were able to do so. So we get the kind of competitive advantage there. And our volumes grew significantly in this quarter go. Moreover, in the second quarter of this year, we launched contact mobile application that enriches our product proposition from being able for clients to send money from our partners, retail and bank to be able to do it directly from mobile app, and it's growing quite successfully as well. So, all of that help us to grow the volumes and revenues of the contract money in terms this year quite significantly. So I would say, now close to doubling versus last year. So that impacted our mining remittance vertical, quite strong, specifically in terms of the volumes.
Boris Kim: Yes. So, I will answer to your question regarding betting. At this stage, it's very early to make such stress scenario just because the legislation itself, it's not even on the first reading and statistics of Russian laws show that only 80% of the law, which are just -- which could be into Parliament and to the parliament. Only 20% goes further from the first region. And there are two competitive laws. At the moment, one from the government, but it's still not in the parliament because it's being still discussed at the level of the government. And the second one about single supers is already in the parent, but not on the first region, even. So I would say that at the moment, it's a very theoretical discussion. What will be the real hit on our net revenue if and when this legislation will be adopted. So at the moment, we couldn't just give you any numbers. But we have to warn you, and we have to discuss that, that could be probably an impact on our net revenue in the future.
Operator: Our next question comes from the line of Anna Kurbatova with Alpha Bank. Please proceed with your question.
Anna Kurbatova: Thank you for taking my questions. Two minor questions about operations. First of all, on Rocketbank and SOVEST, could you give some guidance or provide us some expectations? Do we expect further scale intact in the losses in the -- until the end of the year or the purchases that you are making now with these assets, unlikely to pretty more the same result on the net EBITDA by 10 bases in the fourth quarter? And the second question, I note that telecom part of your payment volume business has significantly reduced volumes, transaction volume in the third quarter. So please make some color almost trends there?
Varvara Kiseleva: Thank you for your questions. So, on the first question, regarding Rocketbank and SOVEST expectations, as Boris mentioned, we are already sold and closed SOVEST transaction. And we have substantially winded down Rocketbank operations. We don't expect any costs associated with -- any material costs associated with two of those projects in Q4 2020, and all costs associated with the pilots that they're being in our Payment Services business as part of the payment services business cost and as well do not represent any material amount. So in this respect, the total losses that we have earlier guided for Rocketbank and SOVEST and that have been already booked in Q1 to Q3 this is everything that we expect to record on our books for this year.
Andrey Protopopov: Regarding the telecom question, this is in line with our performance on the physical distribution that we already mentioned. So, meaning our sales service COS network and retail network that those channels are still, I would say, under pressure during the third quarter. So, the telecom volume there as well, this is the same reasons for loan repayments or some other categories that are major represented in the physical distribution.
Anna Kurbatova: Do you see any, on the other side, again, in the digital online payments are still there? So I mean, when you lose some of the physical-based transactions, do you protect part of them if E-commerce now? Thank you.
Andrey Protopopov: Yes, we will obviously see the growth in E-commerce and specifically in the digital entertainment and that's reflected in our numbers because of majority of our growth is coming from those categories. At the same time, we have some volumes of the telecom as well with our bankers partners and with the Wallet where there is more, I would say, positive trends in those categories. However, proportionally those channels for the telecom is smaller also physical distribution, that's why on the overall numbers, we see the decline.
Operator: There are no further questions at this time. On behalf of the QIWI team, thank you for your participation. This does conclude today's conference. You may disconnect your lines at this time.